Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good day ladies and gentlemen, thank you for standing by, and welcome to the ACM Research Fourth Quarter 2021 Earnings Conference Call. Currently, all participants are in a listen-only mode. [Operator Instructions] As a reminder, we are recording today’s call. [Operator Instructions] 00:27 Now, I will turn the call over to Mr. Gary Dvorchak, Managing Director of the Blueshirt Group. Mr. Dvorchak, please go ahead.
Gary Dvorchak: 00:36 Good morning, everyone. Thank you for joining us on today's call to discuss fourth quarter 2021 results. We released results before the U.S. market opened today. The release is available on our website, as well as the newswire services. There's also a supplemental slide deck posted in the investor portion of our website that we will reference during our prepared remarks. On the call with me today are our CEO, Dr. David Wang; our CFO, Mark McKechnie; and Lisa Feng, the CFO of our operating subsidiary, ACM Shanghai. 01:07 Before we continue, please turn to Slide 2. Let me remind you that remarks made during this call may include predictions, estimates, or other information that might be considered forward-looking. These forward-looking statements represent ACM's current judgment for the future. 01:20 However, they are subject to risks and uncertainties that could cause actual results to differ materially. Those risks are described under Risk Factors and elsewhere in ACM's filings with the Securities and Exchange Commission. 01:34 Please do not place undue reliance on these forward-looking statements, which reflect ACM's opinions only as of the date of this call. ACM is not obliged to update you on any revisions to these forward-looking statements. 01:45 Certain of the financial results that we provide on this call will be on a non-GAAP basis, which excludes stock-based compensation, a loss relating to a change in fair value of the financial liability and an unrealized gain in trading securities. 01:58 For our GAAP results and reconciliations between GAAP and non-GAAP amounts, you should refer to our earnings release, which is posted on the IR section of our website and slides 12 and 13 in the supplemental deck. 02:09 With that, let me now turn the call over to David Wang, who will begin with Slide 3. David?
David Wang: 02:17 Thanks, Gary. Good afternoon everyone and welcome to ACM Research fourth quarter and full-year 2021 results conference call. 2021 was a transformative year for ACM. We expanded our customer base, ramped production of new products, and secured orders for evaluation tools from several major semiconductor manufacturers, including the top global player in the U.S. 02:50 I will now provide the 2021 financial results. Please turn to Slide 3. Our financial results demonstrate there's a power of ACM’s expanding customer base. Our differentiated multi-product solution, our product cycle, and our growing production scale to company-wide revenue was 259.8 million, up 66%, and the shipment was 372 million, up [104%] [ph]. 03:27 In the fourth quarter, we had a record revenue of 95.1 million and a shipment of 1.07 million for the first time in ACM’s history. The primary growth was driven by both new product and new [Technical Difficulty].
Operator: 03:53 Ladies and gentlemen, please standby. [Technical Difficulty] Thank you for your patience. Please continue to standby. [Technical Difficulty]
Mark McKechnie: 09:08 Hey operator, it sounds like you're trying to dial David back in. I know we had a couple of people that got dropped of the call. Are there participants all still on the call?
Operator: 9:19 Yes, sir. I'm still trying to reach out to David.
Mark McKechnie: 09:23 Okay. I think what we’ll do is, I'm going to continue with the prepared remarks section, that David was going to say, and then when you get David, please just announce him to the group?
Operator: 9:36 Yes, sir. Thank you.
Mark McKechnie: 09:38 Okay. So, I'm going to continue and thanks for the patients everyone, but we’ll have David back soon. So revenue growth was driven by both new products and new customers. It's solid growth from cleaning, 2.5x growth in ECP, furnace and other products, and more than 3x growth in advanced packaging and wafer manufacturing products. 10:02 We benefited as our front-end customers continued to scale the production capacity and its incremental contribution from new customers, including second and third tier players. We also maintained a good balance of growth and profitability with 44.4% non-GAAP gross margin, 16.9% non-GAAP operating margin. And with the $545 million raise in the star market IPO, we now have a strong balance sheet to fund and accelerate our vision to become a global player in the semiconductor equipment industry. 10:36 In products, we are now a world-class multi-product company. Over a decade ago, we were positioned as a one product company with our single wafer for cleaning SAPS tool. Over the years, ACM’s commitment to R&D and innovation has enabled us to grow into a multiproduct business that could penetrate adjacent markets. 10:54 Following the introduction of our SAPS Technology, we have expanded our cleaning portfolio with TEBO, Tahoe, and semi-critical tools. ACM now offers a complete range of cleaning products that covers more than 80% of all cleaning processes. Building on our core market position in cleaning, we have achieved significant traction for our plating and advanced packaging products and our furnace product cycle is soon to follow. 11:19 We expect to continue to build on our momentum by introducing two major new product categories in 2022. In production, we demonstrated the ability to deliver world-class production tools in volume to many of the largest and most innovative fabs on the plant. Starting with our first factory at Zhangjiang, Shanghai, we now have two buildings with considerable capacity in Chuansha, Shanghai and a third facility in South Korea. We are now preparing for significant growth with our new factory in R&D facility under construction in Lingang. 11:52 In marketing, we have expanded our sales effort and we now knocking on the doors of major industry leading IC makers around the world. We are also adding services personnel to support recent evaluation orders, and we believe success with the major customer that attract even more customers outside of Mainland, China. Putting it all together with products, people, and capital, we've built a strong foundation for robust growth in the years ahead. 12:19 Today, I'm happy to share that we had established a longer-term internal target to reach more than 1 billion in annual revenue. We plan to achieve this by adding new products, new customers, and new production tech capacity in the coming years. 12:33 I will now provide detail on our 2021 results, please turn to Slide 4. First, our 2021 cleaning results demonstrate the strength of ACM’s multi-product strategy. Cleaning grew by 44% to 189.2 million. This includes our flagship SAPS, Tahoe and TEBO products. It also includes our recently introduced semi-critical tools. Cleaning was 73% of sales in 2021 versus 84% in 2020, reflecting rapid growth in our other new product groups. 13:04 We expect solid growth from our flagship cleaning and semi-critical cleaning products in 2022 with good support from a recent order for 29 auto bench tools. We recently announced our ultra-low pressure drive, ULD Technology, which is now being qualified in a major customer and it expands our [auto-bench] [ph] portfolio to cover nearly all of the cleaning steps performed by the auto-bench tools. 13:29 We're in development of a few new dry methods for advanced memory and logic applications, such as the super critical CO2 Dry and advanced high temperature IPA Dry technologies, which will further increase our cleaning product portfolio coverage from 80% of the process steps to 90% of the process steps. 13:49 ECP furnace and other products grew by 149% to 33 million and represented about 13% of sales. We delivered 20 ECP tools in 2021 with about one-third front-end or ECP map and about two-thirds for advanced packaging or ECP ap. 14:07 Last week, we announced orders to 21 ECP tools. These orders include ACM’s first volume purchase order of 10 tools to our front-end ECP map tools, which came from a top tier China foundry. The order follows a successful first tool valuations in which the customer qualified our tool to 65 nanometer down to 28 nanometer processes. 14:31 Meanwhile, we delivered seven furnace tools in 2021. These were mostly demo tools and they expect the furnace to contribute more meaningfully to revenue in 2022 as its product cycle commences. We continue to refine our ECP technologies to meet our customers increasing needs and advanced notes and develop furnished ALD technologies that are critical for advanced nodes in both memory and logic applications. 14:57 The advanced packaging not including ECP services and spares and other processing tools grew to 37 million or about 14% of sales, up more than 3x from 2020 levels. This group includes a range of packaging tools, including total, developer, scrubber, PR stripper and wet etchers. It also includes our services and spare parts. ACM has a broad offering of what tools to support advanced packaging and we're the only company that offers both a full set of wet tools and the advanced plating tools. 15:32 The global IDM with a China based assembly facility is evaluating our tools with good progress so far. We are hopeful we can secure meaningful repeat orders for additional PR strippers and other products from this IBM and other customers. 15:46 Advanced packaging has become more important as the industry looks for packaging, innovation to drive higher performance. We expect advanced packaging to get a solid contributor to revenue for 2022 and beyond. As discussed in previous calls, we believe that the TAM of plating tools will be driven significantly by advanced package applications for 700 million in 2021 to more than 1.5 billion market opportunities in the coming years. 16:13 Second, we diversified our customer base in 2021. Please turn to Slide 5. Our first customer group is the major front end manufacturers. We have five customers in this group encompassing foundry, 3D NAND and DRAM. 2021, we had two greater than 10% customers both from this group. 16:33 Shanghai [indiscernible] together with Huahong semiconductor as a group known as the Huahong Group was our top customer at 28% of sales. They are a leading foundry in China that is in the middle of a multi-year expansion projects in Shanghai and Wuxi for trailing edge and 28 nanometer products. 16:51 We supplied the Huahong Group with nearly all of our products. Being close to our Shanghai engineering team, they are offering among the first to try out our new tools. YMTC with our second largest customer at 21% of sales, We've been working closely with YMTC since the early days of the first [indiscernible] in Wuhan, that count is ranked to scale close to full capacity. 17:13 ACM was the top cleaning tool supplier to YMTC in 2021. We experienced good growth in sales of our flagship products and semi-critical tools to YMTC. Public reports have indicated that YMTC has completed the construction of the shell of its second fab building in Wuhan and will soon begin to install tools to ramp production of its advanced 3D NAND product. 17:35 We are working to win additional share of YMTC’s cleaning business and we also believe we are well-positioned to participate with our ECP furnace and other new tools in development. Other key front-end customers or SMIC, CXMT, and SK Hynix. Each of these were mid-to-upper single digit revenue contributors to 2021. We are expecting more contribution from these three customers going forward. 18:05 Our second customer group consisted of emerging China-based semiconductor customers in manufactured power, analog, CMOS image sensors, compound semiconductors and other devices. This group includes 5 second tier players, handful of new third tier companies and others. 18:22 While revenue from each of these customers alone was relatively small, the group in total contributed about 10% of our 2021 revenue. These customers are investing in new capacity to support the growth of 5G, IoT, EV, Artificial Intelligence, and other emerging technologies. ACM has a good presence with these customers supplying a broad range of tools, including SAPS semi-critical cleaning, ECP and furnace products. We expect strong growth for this group in 2022. 18:52 Our third customer group is advanced packaging and wafer manufacturing. Top customers here have included JCAP, Tongfu, Nepes and Wafer Works. This group is reflected our advanced packaging other processing, service, and spare parts, which is about 14% of 2021 revenue. We see major investment in advanced packaging technology that the industry shifts spending to this area, seeking new sources of performance gains versus more traditional [indiscernible]. 19:19 China has an active ecosystem emerging advanced packaging and wafer, manufacturing startup companies would provide additional opportunity for our products. Third, we continue to make great progress with additional major customers. 19:36 Semi-conductors are a global market and we intend to stand our participation from China to the Rest of Asia, the U.S. and Europe. During the fourth quarter, we announced real positive developments. I'll start with the U.S. based major global player who placed an evaluation tool order and a production order for our Ultra C SAPS V 12-chamber cleaning tool. We plan to deliver both in the first half of this year for installation in the U.S. fabs for use in advance processes. 20:05 We have begun to scale up our U.S. based services team to support this important devaluation. We believe the successful evaluation could be for larger business opportunities with this and other major customers in the region. Second, received orders for two Ultra C PR stripping systems from a leading global IDM. This customer has a China-based advanced packaging, manufacturing facility. 20:30 The first tool was delivered in Q4 of last year, and the second was scheduled for delivery this quarter. Our third was an Ultra C SAPS V 12-chamber cleaning tool evaluation order from a global semiconductor manufacturer with the China fab. 20:46 And lastly, we received an order for an Ultra ECP map copper plating tool from a regional Asia-based semiconductor manufacturer. This is on track to be delivered earlier this year. 20:59 ACM’s progress with these major players is a testament to our technology leadership, the strength of our regional support teams, and our ability to produce at scale. We are confident that successful qualification can result in larger business opportunities and we continue to build our sales pipeline with other top tier players. 21:17 Next, I'd like to provide an update on our production capacity in Slide 6. We achieved a key milestone with a record 117 million of shipments in the fourth quarter. This is our first full quarter of more than 100 million of production. We exited the year with nearly 500 million of annualized production capacity, despite the industry-wide supply chain challenges. 21:42 The confidence in our production capacity is a critical factor to attract additional major players as future customers. We are working to increase production capacity to 625 million by the end of 2022. We are also on track and with our plan to build a production in R&D center in the Lingang region of Shanghai with the million square feet of floor space could enable us to increase our annual production capacity to 1.5 billion in the coming years. 22:10 The facility will be used to support advanced R&D with a world-class [indiscernible] metrology tools and will help speed up our internal R&D and demo activities. We plan for initial production at Lingang in the middle of 2023. 22:25 Please turn to Slide 7 for an update on ACM’s SAM. ACM has become a trusted local supplier to some of the biggest and most innovated semiconductor producers in Asia. We have scaled our business alongside these giants and many of them now to look to ACM to work together to solve some of the more challenging issues that they face. This provides ACM already testing ground with data customers to develop our ideas into products. 22:54 We have the opportunity to deploy our newest differentiated technologies that leading manufacturers who’re just a short flight or a drive from our Shanghai factory. We seek to first develop our technology, scale it with our local partners and then in ready leverage ACM’s global presence to expand our business to international markets. With this operating environment we have grown our product offering substantially over the past several years. 23:20 We now estimate ACM’s current product portfolio addresses an $8 billion market opportunity. The increase from our previous estimate of $5 billion SAM is based on a much higher third-party estimates for the 2021 WFE market, which now stands at about $88 billion. By product line, we estimate a contribution of 3.7 billion from cleaning, 2.9 billion from furnace, 732 million in ECP, and 650 million from stress-free polishing, advanced packaging, wafer processing, and other processing equipment. 23:58 We are committed to our goal to double our SAM to more than 16 billion in the next several years, with the addition of – or the introduction of two major new product categories. We plan to do this with the level of innovation that our customers have come to expect from ACM. 24:15 We expect that we can deliver these first tools for each of the major new product categories in the second half of this year. As I’ve noted in prior calls, we plan to enter these categories at leading edge nodes we have built and innovated in a differentiated technology roadmap to address the requirements for the next generation nodes. 24:36 Turning to Slide 8. We are tremendously excited about the growth opportunities in front of us. Our expanding product line, our global sales effort, and production capacity combined with the capital raised from the ACM Shanghai STAR Market IPO provides us with a great opportunity to accelerate the penetration of our SAND, both with our current customer base in Mainland China and the ramp of other new customers in other regions. This chart offers some more detail around $1 billion revenue target. 25:08 We're proud of what we have achieved since our U.S. IPO in 2017 with our 2021 revenue up 7x versus our 2017 revenues and we are committed to continue on this growth path. 25:22 Given that many of our customers are still in the early stages of multi-year capacity expansion, we believe we can achieve our $1 billion revenue target largely from Mainland China alone. 25:33 Our model assumes that China maintains change about a 20% to 25% share of the global CapEx with modest growth and that ACM achieves a target of 50% share in cleaning tools, 50% of ECP tools, about 40% of furnace tools, and another incremental $100 million from advanced packaging wafer manufacturing services and spare parts. 25:58 Well we're not setting a specific timeline to achieve this target. We think that one or several major customer wins outside of Mainland China has helped us to achieve the target sooner rather than later. 26:10 I also note that our model doesn't include contribution from our two new product categories. We look to these products to provide another major driver of growth beyond the $1 billion target with the initial ramp expected in the 2024 timeframe. 26:27 Operator, any sign we have reconnected with David yet?
Operator: 26:34 We have not connected with them yet.
Mark McKechnie: 26:38 Okay. I'll keep going and let's keep trying to get him on the call. Now, let's move to our 2022 outlook on Slide 9. Our guidance reflects optimism about our growth opportunities for 2022. We have increased our revenue guidance to a range of 365 million to 405 million. This represents 48% projected annual growth at the midpoint. 27:07 Our outlook for 2022 is based on several key assumptions. First, stability regarding the global COVID-19 pandemic. Second, stability in the U.S., China trade situation. Third, a range of spending scenarios for the production ramps of key customers. Fourth, management of ACM’s supply chain. And finally, a range of timing, but customer acceptances of first tools. 27:34 Our results and outlook demonstrates successful execution of our strategy. Our strong growth is supporting additional R&A spending on new products. We are building our global sales and marketing resources to penetrate new customers in new regions, and we are still on production capacity to support our long-term growth plan. We believe we are on track to achieve our mission to become a major equipment supplier to the global semiconductor industry. 28:00 To conclude, we are extremely proud of these results. I want to thank our customers, business partners, and shareholders for their support and confidence in ACM Research. I also want to acknowledge our employees for an outstanding job and for staying focused and engaged with our customers. I'm now going to move on to the CFO section to discuss the financial results here in more detail.
Mark McKechnie: 28:27 We delivered record financial results in the fourth quarter and for the full-year of 2021. Unless I note otherwise, I refer to non-GAAP financial measures, which exclude stock-based compensation and unrealized gains in trading securities. A reconciliation of these non-GAAP measures to comparable both GAAP measures included in our earnings release. 28:52 Now, the fourth quarter, shown on Slide 9. Revenue for the fourth quarter of 2021 was 95.1 million, up 108.8%. Revenue for single wafer for cleaning tools, which include SAPS, TEBO, Tahoe and semi-critical cleaning was 61.9 million, up 65.3% and 36.8 million. Revenue for ECP furnace and other technologies was 19.5 million, up from 4 million. 29:22 Revenue for advanced packaging, excluding ECP, services and spares was 13.8 million, up 2.8x from $4.8 million. Total shipments for the quarter were 117 million, versus 67 million in the fourth quarter of 2020, and 99 million in the third quarter of 2021. 29:46 Yeah, we can hear you okay David. It’s good to have you back. I’ve finished reading your introductory comments and I’m on the CFO section. So, I’ll keep moving on.
David Wang: 29:57 Okay, please.
Mark McKechnie: 29:58 Great. So total shipments for the quarter were 117 million, versus 67 million in the fourth quarter of 2020, and 99 million in the third quarter of 2021. This includes deliveries for revenue in the quarter, deliveries of systems awaiting customer acceptance for potential revenue in future quarters and deliveries of evaluation tools. This represents another quarter of record shipments, which we consider a remarkable accomplishment by our production team given industry-wide supply constraints. 30:31 Gross margin was 47.9% in the fourth quarter versus 43.3%. This was higher than our normal expected range of 40% to 45%, reflective of a favorable product mix. We expect gross margin to continue to vary on a quarterly basis, due to a variety of factors including product mix and manufacturing utilization. 30:52 Operating expenses were [$25.1 million], versus $13 million. The increase in operating expenses reflected higher R&D and new products, our expanded U.S. Sales team and other costs. R&D expenses grew to 12.6 million or 13.7% of sales more than doubled the level from the year ago quarter. 31:12 The doubling of our R&D spending reflects ACM’s commitment to new products and innovation. We expect to continue to increase the intensity of our R&D spending added to the 17% level in 2022. Operating income was 20.4 million, up from 6.7 million. Operating margin was 21.5% versus 14.8%. 31:35 Unrealized loss on trading securities related to the change in market value of our SMIC Investment was 1.2 million in the fourth quarter of 2021, versus an unrealized gain of $3.6 million in the year ago quarter. Note that we exclude this non-cash item from our non-GAAP results. We had a tax expense of 3.2 million versus the tax benefit 2.8 million in the year ago period. 31:59 Net income attributable to ACM research was 18.1 million versus 6.2 million in the year ago period. Net income per diluted share was $0.81, compared to $0.29 in Q4 of 2020. I'd like to point out a few below the line items. Equity income and net income of affiliates contributed 3.6 million in the fourth quarter of 2021, as compared to 0.1 million in 2020. I reference this item in this quarter's report as it was higher than normal, due in part to an investment related gain from ACM Shanghai’s participation in limited partnership. 32:39 Tax related items, compared to a normalized tax rate and the effects of foreign exchange fluctuations on operating results, provided a headwind of [0.2 million] [ph] or $0.01 per share and a net benefit of 0.9 million or $0.04 per share in the fourth quarter of 2021 and 2020, respectively. 33:00 I'll now review selected balance sheet items. Our cash balance was $563 million at the end of the fourth quarter versus 65 million at the start of the third quarter. This obviously [indiscernible] net proceeds of our STAR Market IPO of 545 million during the fourth quarter. 33:19 In addition to the cash balance, we also had trading securities of 29.5 million, related to our SMIC Investments, which includes an unrealized gain of approximately $14.5 million versus our original purchase price. Total inventory was 218.1 million at the end of the quarter, up from 176.6 million at the end of the last quarter. The 41.5 million quarter-to-quarter increase was driven by two items: Our first finished inventory grew by 9.8 million and 91.7 million. 33:53 As you know, this item, it represents the balance of first tools that have been delivered to customers for evaluation and are carried on our balance sheet at costs [carrying] [ph] potential transfer of ownership. The second item is work-in process and raw materials, which in total grew by 31.7 million from the prior quarter, and we are pleased to be able to secure this inventory for our planned shipment growth in 2022. 34:17 At quarter-end, short-term borrowings, including [indiscernible] person of long-term debt was 12 million, down from 17.6 million at the end of the third quarter. Non-current long-term borrowings were 23 million, essentially flat at the end of last quarter. 34:33 Cash flow used by operations was approximately 36 million for the fourth quarter and approximately 40 million for the full-year. As I discussed above, this is to support the growth from our finished goods inventory, which is a good form of the – a good indicator of a value tool at valuation tools at our customer and our future production needs. 34:56 In sum, we are successfully executing our strategy. We're participating in the growth of major new IC fabs, we’re ramping production, and we're developing and delivering new products to growing this to customers. We’re positive about our opportunities in Mainland China and the expansion outside of China. 35:13 Let's open the call for any questions that you may have. Operator, please go ahead.
Operator: 35:19 [Operator Instructions] Our first question comes from Patrick Ho with Stifel. Your line is open.
Patrick Ho: 35:32 Thank you very much and congrats on the nice year. Maybe first off for you, Mark, in terms of the supply chain. You guys managed it very well based on the results and the outlook. Can you, one, describe some of the issues that you're facing in some of the challenges? And secondly, what are you doing specifically to try and mitigate the situation?
Mark McKechnie: 35:57 Yeah, go ahead David. Please. You can start.
David Wang: 36:03 Well, actually yes. This is a shortage of the supply chain [indiscernible]. And last year, we do have initially some long-medium items and in average wise, there used to be two months, three months approaching quite a far way, like five, six months. 36:25 So, our [indiscernible] in the last year is, we're working with very closely with our supply chain and also we give them a more ahead of our meeting item order, right? And also, asking to secure to deliver. That’s what we were doing. Secondly, we are also looking for secondary vendor, which is hopefully [indiscernible] not the past. So, that's what the, [indiscernible] long delivery time. 36:58 So, come to this year again, within the same policy and again, we are doing more of a – as much as we can give the long leading item order and to their strategic supplier. And the same time, we are also actively looking for a second, in third supply, right, to rebalance our – the constraints of supply chain. So, hopefully, this year, we can see better. 37:25 We also see our supply chain do another good job expanding capacity, they hire more people and we do see that the capacity increase. And anyway, hopefully, I think this year, we'll get a smooth and would be a better control [indiscernible].
Patrick Ho: 37:44 Great. That's helpful. Maybe as my follow-up question, It's very encouraging to hear about your $1 billion annual revenue target. Can you discuss a little bit about your capacity need and how you'll be able to flex capacity depending on, kind of the product strength? So, are you going to be able to flex from say, your clean products or advanced packaging if that market grows? Give me a little bit of color, I guess in terms of one, the potential capacity increases and how you can flex from product to product depending on customer demand?
David Wang: 38:23 Great. Actually, Pat, we want to go – turn to Slide 8. We have [indiscernible] model kind of supporting what you were projected here, right? Page 8. And basically, I think with our broader process coverage from convenient tool and we believe by end of this year, we have about 90% coverage with additional CO2 to the critical and the most IPA dry. So with that, [indiscernible] 50% of the local made in China market. That's about and you can see that as, what kind of half of that almost goes 25 billion. And their [indiscernible] technology including the [indiscernible] completing a sale of [indiscernible], so we can handle most advanced technology loans we believe. 39:26 So, the [indiscernible] will cover AMC partners I know the [PSV] [ph] and also advanced packaging tools. So that give us roughly a 50% of that. So, is about basically [indiscernible] China about 0.3 billion, right and [indiscernible] close to 0.2 billion is our market here. 39:49 So, in next [indiscernible], right, that's a huge market there too. So, what [indiscernible] 30% of the go to market. We've done additional packaging with over 100 units. So, will all that together, it goes to 1 billion. However, which is why I think a conservative [appellation] [ph]. 40:07 We will see that as – we're actively looking market, [indiscernible] Mainland China as we progress mentioned with secured one in a top-tier customer in the U.S. base. We will continue exploring our customer in Taiwan and in Singapore of South Asia and in Europe. Right. So with that additional global customer, also in Mainland, China as we progress, I think will speed up even there is our steep region 1 billion on revenue, right? 40:41 So, that's what we mentioned – we’re thinking today's our product, which is in the leading market. As I mentioned, also [indiscernible] we also working the two additional new products, which is what top of our addressable market from 8 billion to 16 billion. And obviously, those product are not getting revenue probably until 2024 and even beyond, right? 41:10 So, that would be from adding additional driving force and to how ACM will grow to a billion, even [indiscernible] over. So that's our strategy we're talking right now. Anything else, Mark, you want to add on that?
Mark McKechnie: 41:28 Yes, you bet. No, I think there is – I think it sounded like Patrick had a little side question about our ability to produce it too. And so Patrick, one thing to be clear is the, you know our production facilities, it's pretty fungible between our different product lines, Patrick. And so, really our capacity is about the floor space we have. And we've given you the plans on that, the thirteen and of course, it's the supply chain. 41:56 So, those are kind of the big drivers. I mean, we, of course, we've got plans in place to support from a production standpoint to support those targets.
Patrick Ho: 42:09 Great. Thank you very much and congrats again.
David Wang: 42:14 Thank you.
Operator: 42:16 Our next question comes from Donnie Teng with Nomura Securities. Your line is open.
Donnie Teng: 42:25 Hi, David and Mark, can you hear me?
David Wang: 42:29 Yes. Donnie, I can hear very well.
Donnie Teng: 42:33 Great. Congrats on the good results. Maybe my first question is regarding to your 2022 guidance. So, looks like we’ve revised up little bit, just from the guidance we have given in the past one to two months. So, just curious on what’s the reason behind the better guidance this year? And also, considering that, we are expanding our like wafer equipment much quicker in 2021, there is a question frequently asked by investors, is that, how can we grow this wafer cleaning towards much faster? What kind of investment we have been done in these new areas? This is my first question. Thank you.
David Wang: 43:28 Okay. So, actually, like you said in the January timeline will be our first year-over-year guidance, right? And since then until now, almost like a two months past. So, we do see some more visibility comparison at the general timeline. And then we see that they're more visible and also therefore for that reason, so we made a slight adjustment of a $20 million mark increase for the whole year guidance. 44:05 So, you are looking this year as the revenue will grow. I think we still see a very strong growth in our main continuing product. And also due to the recently announced, we do have this over bench, you know [indiscernible] coming, and we see that there are also a very strong demand also on the bench product, which will add-on using a single wafer. 44:28 Also, I can say in China, second tier, [indiscernible] also they expanding 45 [indiscernible] a lot in this production line. So, we see that the auto bench will be real critical for those [indiscernible] product. So, also, as we announced we this low pressure dry [indiscernible] been qualified and that's really make [indiscernible] product. We are expanding in China for the [indiscernible] player. 45:00 So we can almost cover most of their [auto bank process] [ph]. Obviously, our SAPS, our TEBO, and the Tahoe will continue to grow. Also other scrubbers, backside cleaning will continue to go out here. So, I think still driving force community nature and more than that is we will see this year, we are going to see the cover plating, [indiscernible] in more of a revenue in the increase, right? 45:27 So that we'll see that will continue grow as we announced recent, a big order for the [indiscernible] tool. And so, I see that continue driving our revenue. Another view [indiscernible], right? As we know, last year we had about [indiscernible] ship out in the [indiscernible] applications deal, high temperature anneal and also vacuum anneal. And so it's quite – this tool is [indiscernible] very well. So, looking for this year we repeat order and also we customer based [anneal] [ph]. 46:00 So, we're seeing also the focus added revenue for our 2022 revenue growth. And more than that is the again, and this is also [indiscernible]. We’ll talk about it on the month package, right, as still growing in our [indiscernible]. 46:16 So, what I say is, this year will be a another exciting year. As I said, our existing product on the market. Further make the revenue grow. And other franchises are existing customer and also second tier, third tier customer, and also packaging also wafer manufacturing customers still in the multi-expense. That's why we give that estimation for this year revenue.
Donnie Teng: 46:50 Thank you. Yes. Thank you, David. And my second question is, regarding to our shipment, so we have very strong shipment per quarter. Right now, it's like over [indiscernible] wondering if you could quickly comment on the shipment trend this year by each quarter, is life still trending up, above the fourth quarter level or there will be some seasonal drop in the first quarter and we accelerate into the rest of the quarters. And also wondering if you have seen like some, for example, a [indiscernible] DRAM CapEx to pick up more meaningfully from this year because previously it looks like our momentum has been mainly driven by logic investment and those Chinese customers? Thank you.
David Wang: 47:45 Okay. Well, looking at our last year quarter [indiscernible] right? And this is a manufactured base, mostly in China. And some were opening in Korea. As supposed to China and Korea, they have [indiscernible] a Lunar New Year and China New Year. So that's really [indiscernible] because our employee go back home, [indiscernible] weeks, sometime 10 days, that’s really can reduce shipment. 48:12 So looking at last year, Q1, Q2, Q3 increased [indiscernible]. And again, this is similarity we are seeing because of manufacturers wise and also some [indiscernible] delivery in the last year. So, it's always a decline. We can see that – we saw Q1 might be weak and Q2, Q3 is strong, and Q4 depends, sometimes based on [indiscernible]. 48:38 So, we'll probably see that kind of seeing pattern we have each year and that is our estimate. Then looking at product wise, and you just mentioned as the high mix. Yes, their capacity sheet pretty much it's kind of [indiscernible] not much plan expanding. We are looking – they are looking really expanding in your [indiscernible] site. 49:02 So, we are working closely. We are trying to also working very closely with our customer, trying to get into their fab into their [indiscernible] right? And I've been adding, I can see our memory company in the Mainland, China restaurant, and we see that continue to grow. And we are also looking for our international opportunity right? And in the [indiscernible] memory to.
Donnie Teng: 49:36 Got it. Thank you so much David.
David Wang: 49:40 Thank you, Donnie.
Operator: 49:43 Our next question comes from Suji Desilva with Roth Capital. Your line is open.
Suji Desilva: 49:48 Hi, David. Hi, Mark. Congrats on the strong finish to 2021 and the strong growth outlook. So, the, yeah, I'm curious on the calendar 2022, if the sense of your customer concentration will be similar to 2021, would you expect fewer or more 10% customers as you've grown here across customer base?
David Wang: 50:11 Yes, okay. Well [indiscernible], right, customer still volume [indiscernible] right? Rest of three top five additionally is a [indiscernible] and also there [indiscernible]. And we see that probably this year, we see there kind of quite a bigger plan increase. And obviously from we can see their SMIC. And also we're expecting CXMT continuing investment too, right? So, we’re hoping we'll see of their customer probably one, at least maybe two will get into more than 10% this year, that’s our expectation, right? And so, that I see there in top customer. 51:02 Other [indiscernible] second tier, third tier was to continue their expansion, their capacity. That will be the status I can say.
Suji Desilva: 51:10 That's very helpful, David. And then the new product categories you get to announce I'm curious, are these investing similar sized TAMs to what you're offering now? Are you going to target even larger, more significant TAMs in these new product categories?
David Wang: 51:28 Yes. [Indiscernible] slide, we have laid down that pretty clear. We're existing product, we’re address more of API, right, and 5 billion because the total margins can grow. So, that becomes beginning by the [indiscernible] global I call it in the market calculation. And, but we do walk in this additional tier new product and, we are thinking and planning for a couple years ago, and also because of our customer, really among us get into to the two new product and to work together, address their process and advance those needs. 52:11 So, the two new product we believe what we come out probably second half of this year, and so far we're running very well. And also as again, when we build a new product, we're still using our innovation idea, the different idea go on to the building product and certain performance and should be close to top year. And I think global tope year, or even, I am hoping some performance that we’re doing some change technology to develop. 52:39 They are kind of even succeeding those product. [Indiscernible] So, anyway, we're looking at this way now and those are two product that’s above the double common [indiscernible], right. An addition of $8 billion market altogether. So, again, we're very excited about two new product and what do the same way and do it before and we will mention the [indiscernible] idea and providing better solution into customer to address their technology in the next generation and requirement, right? Not just in the self or current requirement, which ask for the future requirement too.
Suji Desilva: 53:20 Perfect. Great execution on the product roadmap. Congrats guys.
Mark McKechnie: 53:24 Thanks Suji.
David Wang: 53:25 Thanks.
Operator: 53:27 Our next question comes from Christian Schwab with Craig-Hallum Group. Your line is open.
Christian Schwab: 53:32 Hey, good morning guys. The U.S. based major global player congrats on the evaluation production orders there. Would you guys like to pull off successful evaluation could lead to larger opportunities? Can you quantify that, like give us a range of potential outcomes versus modest success at that customer to great success at that customer?
David Wang: 54:01 Yeah. Actually, you can see that with the Q2, rate, what do you deliver and we are very I, should say, excited about that. And also, as Q2 will be qualified, we are looking for more opportunity, right? And also among [indiscernible] this tool, actually, we have addition on the product. As soon as they are qualified for this tool, they can bring to new different process down with different application, and also, we have other products right, like today, [indiscernible] and also furnace. 54:36 I think we’re looking for lots of future opportunity working with the leading supply customer in U.S., even added more of our product, I believe revenues in the target [indiscernible] and our [indiscernible] and also [indiscernible] furnace and you know furnace would be obviously, but also this year, we also have our ARD furnace come out, which we would take a thermal ARD and plasma ARD by the vertical furnace type. 55:06 That all become, I call it a big opportunity and can bring us to this top tier customer. As time goes out, we have a successfully [indiscernible] customer. We did all the volume production and really we are bringing in [indiscernible] additional segment year, a second top tier customer in the USA too. Also more than that is, we want to secure success in the U.S. and top tier customer, when we will help our [indiscernible], right including timeline, including Europe. 55:38 We're excited about this. And that's why we are a lot after and hire people and doing their service supporting and we needed project success. And so far so good. We are working close and try to make project on our big effort move to success.
Christian Schwab: 55:58 Thank you for that color. My last question is just regarding the additional capacity that's coming online, and the $1 billion revenue target, as we expand the customer basis as well as expand the number of tools that we're able to sell as we just highlighted to different leading customers. As we look out beyond middle of 2023 when some of that initial production is beginning to ramp, I'm trying to determine if the gross margin of the company or your expectations for gross margins would be any different than they are today?
David Wang: 56:39 Yeah. And okay, that’s a total on gross margin, great. I think so far our gross margin are pretty kind of stable between 40%, 45% to some time, quarter-to-quarter in our fluctuation, we can see that. 56:54 So, as really, this gross margin really at a future will really depend on few things. And number one is, how we develop the [indiscernible] product, right. And then those product with multi-margin and also how we take care this is a [semi-cleaning product] [ph]. So, we're kind of going to take a balance, right, in other words. And we want see that as we – more progress, and for example like a furnace. You’ve got a more ARD product amount, and for ARD higher margin and help [indiscernible] revenue margin, right? 57:29 So it is really sort of balance of the [indiscernible] technology and product ongoing and therefore you can manage those some quarters particular tool and the margin. So, again, our [indiscernible] 40%, 45%. It's our goal and maybe up to our high end product to qualify end customer, hopefully, we can have a margin and get higher 45% [indiscernible].
Christian Schwab: 58:03 Great. No other questions. Congrats on a good finished to the year. Thank you.
David Wang: 58:08 Thank you.
Mark McKechnie: 58:09 Thanks Christian.
Operator: 58:11 Our next question comes from Quinn Bolton with Needham and Company. Your line is open.
Quinn Bolton: 58:17 Hey, guys. Congrats on the results and outlook. I guess, I want to start with a $1 billion target, longer-term revenue target, just a couple of questions there. In light of that target, can you give us a sense with Lingong starting to ramp in middle of 2023? When do you think you would get to $1 billion of capacity? I know long-term Lingong gets you to 1.5 billion, but how quickly do you to get to having the capacity in place to support that target model? And then I've got a follow-up question.
David Wang: 58:49 Great, great. Okay. Actually [indiscernible] above almost 20,000 square meter. That will be protocol as we mentioned in here $625 million, I call the revenue mix. Maybe you can start a bit more, but that's what we did a total capacity. So, that's why we’re kind of building winddown facility [indiscernible]. And then we reached about two manufactured fab will we build there as about the total protocols of 50,000 square meter with 0.5 million square feet of the area. That two fab [indiscernible] capacity wide, state wise, will talk about 1.5 billion, right whether the first [indiscernible] level automation for the logistic spare parts been there. 59:49 So, we can see a high efficiency. So, the [indiscernible] and then gradually moving capacity from transactions to legal, right? So, eventually we'll probably – will be more of a family focused on other two fab with Lingong. 60:09 Again, if we fully utilize 1.5 billion and of course, have more people and more in the year, right to run that fact. That will be the line of progression capacity rental speed. So, we see that will – it's pretty good decision and we've also made this happen and make sure our capacity can remove our [indiscernible].
Quinn Bolton: 60:42 But just in terms of that billion dollar capacity is that something you think you could hit in 2024? Is that something that you might not to get there until 2025? Again, just from a production perspective?
David Wang: 60:56 Yeah. I think talk about real capacity wise and [indiscernible], right. [indiscernible] And then probably eventually will finish all construction by 2020, as of this year-end we're seeing other construction, but then you will have the modern side or the ranging order production and require gas system a lot of time [indiscernible]. So eventually that’s got land manufacturers [indiscernible]. 61:28 So capacity wise and space wise, it will be 1.5 billion. However, you have the [indiscernible] right? That will be according to our sales plan [indiscernible] and then eventually represented. So that we really rely on ourselves. And also our R&D and new product qualification and what depends on that.
Quinn Bolton: 61:54 Got it. Okay. And then for Mark, you've talked about a 17% target for R&D as a percent of sales. I think in the fourth quarter R&D was below 10%. So, getting to 17% seems like a pretty big jump, does that happen in a step function? Could you give us some sense how do you ramp up to that 17% with sales level? And I guess a related question, SG&A came in pretty heavy at 17% of sales, where do you see SG&A as a percent of sales in 2022? Thanks.
Mark McKechnie: 62:30 Yes. Thanks Quinn. I mean, big picture, the R&D was about 13.7, right, in Q4. So, we stepped up our R&D and more than doubled year-on-year. So that – we're certainly – have a lot of areas and opportunities for investment there. 62:57 I think Quinn, but we would anticipate just to ramp that up, kind of gradually throughout the year, and we talked a little bit about the seasonality David mentioned Q1 is going to be probably the lowest quarter of the year. 63:14 And so we’ll bring the R&D throughout the year, but in general, if you think about our overall operating model for 2022, we're thinking about the gross margin would be the 40% to 45% range. And the big difference is going to be in the uptick in the R&D intensity. You would expect a little bit of leverage for both sales and marketing and G&A, but not dramatic. 63:48 So, they'll go down a little bit as percentage of overall sales and the R&D will tick-up.
Quinn Bolton: 63:55 Okay. Thank you.
Operator: 64:07 Our next question comes from Edison Lee with Jefferies. Your line is open.
Edison Lee: 64:13 Okay, thank you. Hi, congrats on the results. I have two questions, mainly with respect to the 2022 revenue guidance. I wonder, out of the latest guidance, how much of that is going to come from overseas versus China? And number two, is that what do you think will be the breakdown of these three major categories within the revenue guidance that is among [P&A] [ph] ECP and advanced packaging and order?
David Wang: 64:45 Yes. Okay. Let me cover first and Mark can add more. So, I think our revenue this year, our projection is a two major compound. I call is Mainland China, right? And maybe something from [indiscernible], so not a significant portion from the overseas, right. Even we have with revenue, we sell to the top tier U.S. customer and talking a [indiscernible] volume. So, what is still, I say, our revenue base is still on the Mainland China base [indiscernible]. 65:25 Then on the product category you can see that we couldn't tell what the number was this year, but during last year you can see that our cleaning has been down to [23%] right? And that we'll see that [indiscernible]. So, we are seeing that [indiscernible] job, right? And looking at year 2020, 83.8% and last year is at 72.8% and [indiscernible] even the valley would continue great, but that is relative value of any other job, right? 66:09 So, we cannot give you numbers, but I can give you channel wise, and will have more other product will grow, right? That, we can see that.
Edison Lee: 66:20 Okay. Can I ask a follow-up about this new cleaning product for compound semi? And also assume that cleaning product for compound semi is not one of the two new product categories that you're going to introduce this year, right? So, can I assume that, you have not yet talked about these two new product categories that you're supposed to introduce this year?
David Wang: 66:44 Yes, I think our two new category product is not same product, right? [Indiscernible] And that has been their plan, I said a few years ago, and we have put enough effort in the last two years, few years. And it really comes to the operator type and we are thinking about the second half this year, we can deliver operator tool and for customer for evaluation. 67:11 Those two beta new product as mentioned 18 billion of the addressable market. And however, we believe what [indiscernible]. So, we're really looking for maybe contribution and there will be there – come from maybe 2024 and that timeline line – two new [indiscernible] products or revenue wise. But then regarding [housing life] [ph], I should say, what [indiscernible] Asia customer in Thailand and also Singapore and South Asia too, including also Europe. 67:50 So, I think this year we can have additional new customer. Will be getting over outside of the Middle China. However come revenue wise, probably [indiscernible] too much revenue because the first two, you have together first two of [indiscernible] revenue right until they qualify, right? So, the real meaning for securing new customer this year, revenue of the data next year. [Indiscernible].
Edison Lee: 68:22 Okay, I see. Maybe just one last question. So, on the cleaning equipment for compound semi, do you think you will contribute to revenue this year?
David Wang: 68:31 Oh, yes. And actually compound semi is nearly new emerging market right, you know obviously the [indiscernible] production. Also, regarding trading tool, last year, the recording [indiscernible] for the, I call it, [indiscernible] application tool. So, we have all wet and this is a couple of [indiscernible] and also compound semiconductor application.
Edison Lee: 69:17 And this all in Mainland China, is all right?
David Wang: 69:21 Well, we also see some [indiscernible] even from outside Mainland China, right? And we do have international customer asking also [indiscernible] application both for [indiscernible] also for the coater, developer, wet etcher, and PR stripper.
Edison Lee: 69:39 Okay. Okay. That's great. Yes. That's it from me. Thank you very much, David.
David Wang: 69:43 Yeah. Thanks.
Operator: 69:47 That’s all the time we have today for questions. I'd like to turn the call back over to David Wang for closing remarks.
David Wang: 69:57 Okay. Okay. So again, thank you, operator and thank you all participants for participating on today’s call and for your support. Sorry, my phone had trouble [indiscernible]. Before we close, Gary is going to mention some upcoming investor relation events. Gary, please.
Gary Dvorchak: 70:31 Thanks, David. On March 14 and 15, we will present at the 34th Annual ROTH Conference in Dana Point, California. Then on the 22nd through 24th of March, we will present at the Morgan Stanley Virtual Hong Kong Summit. Attendance to these conferences is by invitation only for clients of each firm. So, interested investors, please contact your respected sales representative to register for one-on-one meetings. This concludes the call. Everyone you can now disconnect. Thank you.
Operator: 71:03 This concludes the program. You may now disconnect. Everyone, have a great day.